Operator: Greetings, and welcome to the CVR Partners Third Quarter 2025 Conference Call. [Operator Instructions]. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Richard Roberts, Vice President of FP&A and Investor Relations. Thank you, sir. You may begin.
Richard Roberts: Thank you, Eric. Good morning, everyone. We appreciate your participation in today's call. With me today are Mark Pytosh, our Chief Executive Officer; Dane Neumann, our Chief Financial Officer; and other members of management. Prior to discussing our 2025 third quarter results, let me remind you that this conference call may contain forward-looking statements as that term is defined under Federal Securities Laws for this purpose. Any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise, except to the extent required by law. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures, are included in our 2025 third quarter earnings release that we filed with the SEC for the period. Let me also remind you that we are a variable distribution MLP. We will review our previously established reserves, current cash usage, evaluate future anticipated cash needs and may reserve amounts for other future cash needs as determined by our general partner's Board. As a result, our distributions, if any, will vary from quarter-to-quarter due to several factors, including, but not limited to, operating performance, fluctuations in the prices received for finished products, capital expenditures and cash reserves deemed necessary or appropriate by the Board of Directors of our general partner. With that said, I'll turn the call over to Mark Pytosh, our Chief Executive Officer. Mark?
Mark Pytosh: Thank you, Richard. Good morning, everyone, and thank you for joining us for today's call. The summarized financial highlights for the third quarter of 2025 include net sales of $164 million, net income of $43 million, EBITDA of $71 million, and the Board of Directors declared a third quarter distribution of $4.02 per common unit, which will be paid on November 17 to unitholders of record at the close of the market on November 10. For the third quarter of 2025, our consolidated ammonia plant utilization was 95%, which was impacted by some planned and unplanned downtime at both facilities during the quarter. Combined ammonia production for the third quarter of 2025 was 208,000 gross tons, of which 59,000 net tons were available for sale and UAN production was 337,000 tons. During the quarter, we sold approximately 328,000 tons of UAN at an average price of $348 per ton and approximately 48,000 tons of ammonia at an average price of $531 per ton. Relative to the third quarter of 2024, sales volumes were down slightly primarily as a result of low inventory levels at the end of the second quarter, following the strong demand in the first half of 2025. UAN and ammonia prices increased 52% and 33%, respectively, from the prior year period, driven by tight inventory levels across the system as a result of elevated demand and reduced supply associated with domestic and international production outages. Overall, we had a strong third quarter with UAN pricing above levels we saw in the spring and we believe the setup is favorable for the remainder of the year and into the first half of 2026. Domestic and global inventories of nitrogen fertilizer remain tight, and that has been supportive of higher prices which I will discuss further in my closing remarks. I will now turn the call over to Dane to discuss our financial results.
Dane Neumann: Thank you, Mark. For the third quarter of 2025, we reported net sales of $164 million and operating income of $51 million. Net income for the quarter was $43 million, $4.08 per common unit and EBITDA was $71 million. Relative to the third quarter of 2024, the increase in EBITDA was primarily due to a combination of higher UAN and ammonia sales pricing. Direct operating expenses for the third quarter of 2025 were $58 million. Excluding inventory impacts, direct operating expenses increased by approximately $7 million relative to the third quarter of 2024 primarily due to higher natural gas and electricity costs and some preliminary spending associated with Coffeyville's plant turnaround. During the third quarter of 2025, we spent $13 million on capital projects, of which $7 million was maintenance capital. We estimate total capital spending for 2025 to be approximately $58 million to $65 million, of which $39 million to $42 million is expected to be maintenance capital. We anticipate a significant portion of the profit and growth capital spending planned for 2025 will be funded through cash reserves taken over the past two years. We ended the quarter with total liquidity of $206 million, which consisted of $156 million in cash and availability under the ABL facility of $50 million. Within our cash balance of $156 million, we had approximately $28 million related to customer prepayments for the future delivery of product. In assessing our cash available for distribution, we generated EBITDA of approximately $71 million and net cash needs of $34 million for interest costs, maintenance CapEx and other reserves and had $6 million released from previous reserves. As a result, there was $42 million of cash available for distribution and the Board of Directors of our general partner declared a distribution of $4.02 per common unit. Looking ahead to the fourth quarter of 2025, we estimate our ammonia utilization rate to be between 80% and 85%, which will be impacted by the planned turnaround currently underway at the Coffeyville facility. We expect direct operating expenses, excluding inventory and turnaround impacts be between $58 million and $63 million and total capital spending to be between $30 million and $35 million. Turnaround expense is expected to be between $15 million and $20 million. With that, I will turn the call back over to Mark.
Mark Pytosh: Thanks, Dane. Harvest is currently on schedule and nearing completion. The USDA is estimating yields of approximately 187 bushels per acre on 98.7 million acres of corn and inventory carryout levels of approximately 13%. Soybean yields are estimated to be 54 bushels per acre on 81 million acres planted with inventory carryout levels of 7%, although the soybean numbers will likely be impacted by ongoing trade friction with China. Both of these carryout estimates are at or below the 10-year averages. Grain prices have remained at the lower end of the last 12-month range, driven primarily by expectations of large crop production in Brazil and North America this year and potential trade disputes where the purchase of grains may be used as a negotiating tool and reaching trade agreements. December corn prices are approximately $4.30 a bushel. In November soybeans are approximately $10.90 per bushel. The Trump administration and congressional leaders have indicated they intend to provide a subsidy program for farmers to help offset lower grain prices and higher input costs. Geopolitical conflicts are continuing to impact the nitrogen fertilizer industry. In the third quarter, Ukraine continued to target nitrogen fertilizer plants and export infrastructure in Russia, after the large planting seasons in the U.S. and Brazil and the loss of production due to geopolitical factors fertilizer inventory levels across the industry have been tight and are taking time to replenish. We expect these conditions to persist into the spring of 2026. The wildcard continues to be the potential for tariffs on Russian fertilizer imports that could have significant impacts on pricing in the near term. Natural gas prices in Europe have been steady since our last earnings call and remained around $11 per MMBtu currently, while U.S. prices continue to range between $3 and $4 per MMBtu. As we near winter, Europe has refilled its natural gas inventories at a lower level than normal and there's a risk of prices moving higher if the winter is cooler than expected. The cost of produced ammonia in Europe has remained durably at the high end of the global cost curve and production remains below historical levels, which has created opportunities for U.S. Gulf Coast producers to export ammonia to Europe for upgrade. We continue to believe Europe faced structural natural gas supply issues that will likely remain in effect through 2026. We are nearing the completion of the planned turnaround at our Coffeyville facility. In the early phases of the turnaround, we experienced an ammonia release, which we currently anticipate could delay the completion of turnaround work by a few days relative to the original schedule. We expect the facility to resume full production in the next few weeks. As a reminder, we are currently planning for a 35-day turnaround at our East Dubuque facility in the third quarter of 2026. At our Coffeyville facility, we continue to work on a detailed design and construction plan to allow the plant to utilize natural gas and additional hydrogen from the adjacent Coffeyville refinery as alternative feedstocks to third-party pet coke. This project could also expand Coffeyville's ammonia production capacity by up to 8%. We also continue to execute certain debottlenecking projects at both plants that are expected to improve reliability and production rates. These include water quality upgrade projects at both plants and the expansion of our DEF production and load-out capacity. The goal of these projects is to support our target of operating the plants at utilization rates above 95% of nameplate capacity, excluding the impact to turnarounds. The funds needed for these projects are coming from the reserves taken over the last 2 years and the board elected to continue reserving capital in the third quarter. While the Board looks at reserves every quarter, I would expect them to continue to elect to reserve some capital and we anticipate holding higher levels of cash related to these projects in the near term as we ramp up execution and spending, which we will -- we expect will take place over the next 2 to 3 years. The third quarter continued to demonstrate the benefits of focusing on safety and reliability and performance. In the quarter, we executed on all the critical elements of our business plan, which includes safely and reliably operating our plants with a keen focus on the health and safety of our employees, contractors and communities prudently managing costs, being judicious with capital, maximizing our marketing and logistics capabilities and targeting opportunities to reduce our carbon footprint. In closing, I would like to thank our employees for their safe execution during a few brief outages in the quarter, achieving 95% ammonia utilization and the solid delivery on our marketing and logistics plans resulting in a distribution of $4.02 per common unit for the third quarter. With that, we're ready to answer any questions, Eric.
Operator: We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Rob McGuire with Granite Research.
Robert McGuire: Could you, Mark, go back to the Coffeyville natural gas feedstock project? I apologize. But can you just -- I think I missed, when do you anticipate that to start. And are you at a point where you can talk to us about total cost for the project and what you expect in terms of returns?
Mark Pytosh: I'm not ready to talk about finalizing the final cost and returns yet. We're in detailed engineering. So we need to kind of confirm some things about that in terms of configuration or reconfiguration and the infrastructure needs, but everything looks like it's kind of penciling out the way we thought it would. And that's -- it's a combination project to be clear. Part of it is taking additional hydrogen from the refinery. The refinery has a reformer unit. So we are talking about taking additional hydrogen from the refinery plus replacing -- potentially replacing pet coke as a feedstock for a portion with natural gas. But the hydrogen component would be an increase in our production capacity. So it's a combination project that includes the ability to replace feedstock plus bring additional hydrogen, which means additional ammonia capacity. That's what I've been referring to in my comments about up to 8% increase in our production capacity. So we have been reserving for that project. And so we will have the capital available set aside for that. And I'm expecting by the next call to be able to talk with more specifics on that project and moving ahead there. But so far, all the engineering work that's coming back in the construction plans look on track with what we thought what the original plan was.
Robert McGuire: I appreciate that. And shifting gears, any concerns about drought conditions impacting ammonia runs in this ammonia application season. .
Mark Pytosh: Not in the markets where we're placed. We've had some moisture here in the last week, particularly the big ammonia run for us is up in the Northern Plains around East Dubuque, and there was -- there's been moisture. So I actually -- I think conditions are as close to perfect as we could predict because we've had -- the harvest is basically complete there. So we've emptied the fields. The soil temperatures are down and moisture come in, in the last week. And that combination is about perfect conditions. And I'm expecting a big fall ammonia run. The customers are telling us that we have a good book of business already, but people are coming in now with additional cash orders. And so I expect really a good fall ammonia run. So I'm very optimistic.
Robert McGuire: Wonderful. And I mean, kind of just moving forward to that question is just how significant of an impact do you think it will be for the acreage to be down this coming season, at least on anticipated acreage? And is it simply that inventories are down, supply is tight, so you're not concerned at all about selling your volume at elevated prices? Or will there be an impact maybe even on imports?
Mark Pytosh: I'm -- so there's a couple of different layers to the answer to that. Number one, we've been expecting that we were thinking that the acreage -- corn acreage, this is corn acreage would drop next year. I'm not sure now based on -- I'm still reading what happened this morning over in Korea with Trump and Jae, but the feeling in the marketplace is that the corn acreage won't drop as much, because there's concern about what is the what are the end markets for soybeans. And so maybe there's going to be more corn acres just on a defensive approach to protect against trade, trade war behavior. And so I actually think that the corn acreage might surprise on the upside versus a drop -- a lot of people were talking about drop to below 90s, which is still great. That's a great corn run. But it may not drop as far, because I think farmers are of the belief that maybe the end markets will be restricted for soybean exports. So we may end up with a better answer there. I would tell you that if you look at the inventory balances, we're already -- we're tight and I think lower acreage given where we are from an inventory perspective, probably won't impact us much in '26 as it normally would, because quite frankly, there's a rush to try to replenish what we have -- and you probably saw the announcement that Nutrien has shut down one of the Trinidad plants, which is an importer to the U.S. And so that's going to affect the replenishment time frame. So I'm not terribly concerned about the acreage. We watch it closely. But right now, I think the market is in a position to absorb that.
Robert McGuire: That's really interesting. And then with regards to the Trinidad and just looping Russia on imports, are you seeing an impact in the marketplace on those imports at this point in time?
Mark Pytosh: We have not seen any impact on Russian imports. In fact, Russia is the -- particularly like in UAN, Russia is the marginal producer in the marketplace, and they've been exporting to the U.S. in size. So there's been no effect. The fear factor in the market is if there's somehow a tariff or sanctioning of fertilizer coming to the market, that could be a big event from affecting supply. And so that's a fair factor. But we haven't seen any signs. But during the course of this year, even with all the geopolitical events, there's been no restriction on the imports of Russian and I'll focus more on UAN, but there's urea, too. But Russian UAN has been a big factor in the U.S.
Robert McGuire: Well, that's really helpful. And Mark, last question, and I certainly won't hold you to this, but I'd love to hear what your outlook is for the price of ammonia, UAN and urea heading into fourth quarter. .
Mark Pytosh: It's -- we never give out pricing for those products, but it's going to be a solid quarter. And so we've seen a strong market since the UAN fill season and the ammonia prepay. So pricing will be higher in the fourth quarter versus 3Q, which it normally would be. So we'll see that show up in the results. And I'm optimistic. I'm not ready to prognosticate on pricing for spring, but I'm optimistic about the supply-demand balance and what we're going to see there. So I expect this kind of these sorts of market conditions to carry through the first half of '26.
Operator: Thank you. We have reached the end of the question-and-answer session. I'd now like to turn the floor back over to management for closing comments.
Mark Pytosh: Well, thanks, everybody, for participating in the call today, and we look forward to reviewing our fourth quarter results with you in February. Have a nice day.
Operator: Ladies and gentlemen, this concludes today's call. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.